Operator: Thank you for standing by. My name is Ian, and I will be your conference operator today. At this time, I would like to welcome everyone to the Kinross Gold First Quarter 2025 Results Conference Call and Webcast. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would like to hand the call over to David Shaver, Senior Vice President, Investor Relations and Communications. Please go ahead.
David Shaver: Thank you and good morning. In the room with us today on the call, we have Paul Rollinson, CEO; and from the Kinross senior leadership team, Andrea Freeborough, Claude Schimper, Will Dunford and Geoff Gold. For a complete discussion of the risks and uncertainties, which may lead to actual results differing from estimates contained in our forward-looking information, please refer to page 3 of this presentation, our news release dated May 6, 2025, the MD&A for the period ended March 31, 2025, and our most recently filed AIF, all of which are available on our website. I will now turn the call over to Paul.
Paul Rollinson: Thanks, David, and thank you all for joining us. This morning, I will discuss our first quarter results, provide high-level updates across our portfolio, comment on sustainability and confirm our outlook. I will then hand the call over to Andrea, Claude and Will to provide more detail. Following outstanding performance in 2024, we continue to deliver strong results in the first quarter. Our culture of technical excellence and financial discipline, complemented by our consistent operating performance continues to drive significant margins and cash flow for our business. Our financial position and cash flow outlook remains excellent. And as a result, we are enhancing capital returns for shareholders. Q1 was a great start to the year with production of 512,000 ounces. Tasiast and Paracatu had another notable quarter and together accounted for more than half of our production and drove significant cash flow. Tasiast saw strong output in Q1, supported by strong grades and recoveries. Claude will elaborate further, but after a brief shutdown due to a fire in April, the mill was recently restarted and Tasiast remains on track to meet its original full year guidance. Paracatu delivered another excellent quarter on the back of strong grades and improved mill recoveries. La Coipa and our US assets also delivered production and costs as planned. Turning now to updates on our projects. Our in-house technical and project execution teams made notable progress in Q1 across our pipeline of mine life extensions and growth projects that underpin our long-term production profile. At Curlew, ongoing resource drilling is returning exciting results with recent assays demonstrating substantial grades and widths supporting future high-margin production. At Round Mountain, underground development at Phase X is advancing well. And as outlined in our news release, we are continuing to see strong exploration results from infill drilling. At Lobo-Marte, baseline studies to support the project EIA are progressing well. At Great Bear, the advanced exploration program continues with construction and earthworks underway. Regarding the main project, we continue to advance our pruning efforts, working with the Impact Assessment Agency of Canada. And we've also kicked off detailed engineering on the mill and site infrastructure to advance the main project towards construction. Turning now to sustainability. I am pleased to say that our annual sustainability report will be published later this month. This comprehensive report, which is in its 17th edition, provides an update on all the progress we made in 2024 and what we aim to accomplish this year and beyond. It's an impressive document, which I encourage you all to review. Moving to our outlook. Following a strong first quarter, we are firmly on track to achieve our production, cost and capital guidance for the year. As we did last year and in Q1, we will continue to maintain our financial discipline and prioritize cost management in order to deliver strong margins and cash flow. With this positive outlook, I am pleased to say that in addition to our dividend, we have enhanced our return of capital by reactivating our share buyback. This should provide a substantial year-over-year increase in return of capital to our shareholders. With that, I'll now turn the call over to Andrea.
Andrea Freeborough: Thanks, Paul. This morning, I will review our financial highlights from the quarter, provide an overview of our balance sheet and return of capital plans and comment on our outlook. As Paul noted, we had a strong start to the year in Q1. We produced 512,000 gold equivalent ounces and sold 506,000 ounces. As per plan, Q1 cost of sales of $1,038 per ounce and all-in sustaining costs of $1,355 per ounce were lower than our guidance for the year. Q1 costs were also lower than the prior quarter, benefiting from more ounces produced, lower energy and lower maintenance costs. Q1 margins were strong at over $1,800 per ounce, increasing over the prior quarter and outpacing the increase in the gold price. In Q1, our adjusted earnings were $0.30 per share and adjusted operating cash flow was $676 million. Attributable CapEx was $204 million with higher spending expected for the rest of the year to conform with our annual guidance. Attributable free cash flow was $371 million, or $472 million, excluding changes in working capital. Free cash flow in Q1 was lower compared to the prior quarter as expected due to annual tax payments in Brazil and Mauritania. Turning to the balance sheet. Our financial position continued to improve in Q1. Following the repayment of the final $200 million on our term loan, we ended the quarter with $695 million in cash and approximately $2.3 billion of total liquidity, both increasing from year-end. We improved our net debt position to $540 million and our trailing 12-month net debt-to-EBITDA ratio to 0.2 times compared to 0.3 times as of year-end. With the term loan now fully repaid and our strong cash balance at the end of Q1, we are increasing our returns to shareholders. Our quarterly dividend of $0.03 per share remains in place. In addition, we have reactivated our share buyback program and to date, have repurchased $60 million in shares. Based on recent gold prices, we are aiming to repurchase a minimum of $500 million of our common shares this year, which would increase our total return of capital to $650 million, representing an increase of over 300% compared to last year. Our shares continue to represent an attractive use of excess cash given our favorable relative valuation and strong free cash flow metrics. With our strong cash flow outlook, we expect to continue returning a substantial amount of capital to shareholders while also building cash on the balance sheet with a view to repay the $500 million 2027 notes at or before maturity. At today's gold prices, we expect to be in a net cash position by the end of the year. Lastly, during the quarter, Moody's performed their annual review, revising our outlook to positive from stable and reaffirming our investment-grade credit rating. Turning to our guidance. We remain solidly on track to produce 2 million ounces at a cost of sales of $1,120 per ounce and all-in sustaining cost of $1,500 per ounce. Operating costs are expected to increase throughout the rest of the year for three reasons. First, stripping costs at Round Mountain Phase S and Fort Knox Phase X are currently being capitalized, and we expect both to be characterized as operating costs for accounting purposes from midyear. Second, we continue to expect inflation in the range of 3% to 4% on average for the year. And third, we had slightly stronger production in Q1, providing a favorable denominator on fixed costs with production in the remaining quarters expected to deliver our annual guidance of 2 million ounces. Capital expenditures remain on track to meet guidance of $1.15 billion. I will now turn the call over to Claude to discuss our operations.
Claude Schimper : Thank you, Andrea. Delivery of our safety excellence program has now been completed, including at the corporate office and refresher training has begun at some sites. In the first quarter, we placed significant focus on our leading safety practices. We conducted 54 operational learning teams and over 28,000 field engagements. This quarter, our operations continued their strong performance, delivering production of 512,000 ounces. Starting with Tasiast, mine delivered strong results in the first quarter with production of 138,000 ounces at a cost of sales of $811 per ounce. Tasiast performed well during the quarter, driven by strong grades and recoveries, following a variety of optimization initiatives in the mill. Production was lower over the prior quarter, due to lower throughput as we continue to work through enhancements to improve recoveries. Following the fire incident in mid-April, I'm pleased to see how effectively our Tasiast team responded to quickly restart the mill. With critical spare parts already on site, Tasiast team was able to expedite repairs, reducing the downtime and mitigating the impact to production. With the strong mining rates we saw in the first quarter, Tasiast was tracking ahead of its mine plan, allowing for the accumulation of high-grade material. Processing of this high-grade material has commenced and is expected to offset production that was budgeted from lower-grade stockpiles this year. Tasiast is still expected to deliver its production guidance of 500,000 ounces at a target cost of sales of $860 per ounce this year. Paracatu delivered another solid quarter with production of 147,000 ounces at a cost of sales of $951 per ounce. Production increased over the prior quarter due to the strong grades and the timing of ounces processed. The quarter also saw strong production on the back of improved recoveries, which are benefiting from our continuous improvement initiatives, including the recent implementation of an additional gravity circuit at the plant. The site team were able to mitigate the impacts from the significant rainfall experienced in the first quarter, delivering on budget. Production at Paracatu is expected to be higher and costs lower this year, as mining continues within the high-grade portion of the pit. Paracatu remains on track to meet its guidance of 585,000 ounces at a cost of sales of $1,025 per ounce. At La Coipa, we produced 52,000 ounces at a cost of sales of $1,147 per ounce in the first quarter. Production was lower over the prior quarter, mainly due to the timing of ounces processed through the mill and lower planned throughput, partially offset by higher grades from the Puren deposit. La Coipa is on track to meet its guidance of 230,000 ounces and a cost of sales of $1,060 per ounce in 2025. Moving to our US operations. Production in the first quarter was as planned. Collectively, the US sites delivered first quarter production of 176,000 ounces at a cost of sales of $1,246 per ounce. At Fort Knox, first quarter production of 94,000 ounces was higher over the prior quarter as a result of higher processing grades and higher recoveries from Manh Choh, driving strong free cash flow. Ore tonnage from Manh Choh was higher than budgeted in the first quarter due to the timing of and some improvements in the ore transport system. With stronger volumes in the first quarter, the remaining campaigns this year are expected to see slightly lower average tonnages than the 200,000 to 220,000 tonnes per campaign that was outlined at year-end. At Bald Mountain, we produced 46,000 ounces at a cost of sales of $1,123 per ounce. Production was in line over the prior quarter, while costs were slightly lower due to higher capitalized mining costs. At Redbird, mining activity for Phase 1 commenced in January and is advancing on schedule. At Round Mountain, production of 36,000 ounces was lower compared to the prior quarter due to the mine sequencing as mining transitions from the end of Phase W into Phase S stripping. Cost of sales of $1,585 per ounce was lower due to the lower consumable costs. Mining at the Phase S open pit remains on schedule with stronger production contributions expected towards the end of the year. With that, I'll now pass the call over to William to discuss our projects.
Will Dunford: Thanks, Claude. As highlighted last quarter, we have significant optionality from a number of mine life extensions and growth projects that sit in our resource base and underpin our potential future production profile. Our strong internal technical team is focused on drilling, technical studies, and permitting across this pipeline of growth projects to advance them into our production profile while also progressing exploration to bring new projects into our resource. Here, you can see updates on a few of those studies that our team is working on. At La Coipa, study and permitting work is progressing well for the oxide extension opportunities. The extensions being permitted are primarily focused on an additional open pit layback at Puren, an area where we are already mining today. At Bald Mountain, technical studies, optimization work and detailed engineering for Phase 2 is progressing well. Phase 2 would bring in an additional 680,000 contained ounces to the mine plan and extend production out to 2031. We expect to complete our technical work to support an execution decision by year-end at Redbird. At Tasiast, we are progressing both drilling and technical studies to support mine life extensions beyond 2035 through optionality that we can see in our resource, which includes 2.4 million ounces of M&I and 1.6 million ounces of inferred. We are working on both open pit and underground extension options at West Branch, where our mineralization clearly extends at depth alongside exploration for satellite mining targets on the wider property. At Lobo-Marte, baseline studies to support our EIA are progressing well. We are also progressing technical work and will provide a project update by next year. Moving to Curlew. Drilling in Q1 continued to highlight wider and higher grade zones of mineralization, further improving the quality of the project and showing potential for high-margin production. For example, at Stealth, we intercepted 10 meters at 16 grams per tonne and at K5, we intercepted 26 meters at 8 grams per tonne. Technical studies and detailed engineering are progressing well to support a potential restart of operations at Curlew using our Kettle River processing facility. Underground development was also reinitiated in Q1 to extend our decline at depth towards Roadrunner and along strike at Stealth to target further extensions of high-grade mineralization. You can see on this slide, we are extending our development along a paleosurface that controls our productive horizon and has produced multiple historic mines, but has been underexplored at depth, providing potential for further extension of mineralization. We expect to provide a resource and project update for Curlew with our 2025 year-end results. At Phase X, underground development continues to advance with over 3,900 meters developed to date. Infill drilling is also progressing well and as you can see on the slide, we now have good coverage of the upper target zone and are focused on expanding coverage in the lower zone. The table on the slide shows all the results from Q1 in the lower zone. As you can see, the grades and widths further reinforce our exploration thesis of a bulk three gram to four gram per tonne deposit at Phase X. The completion of this drill program put us in a position to provide an initial underground resource estimate and a project update for Phase X with our 2025 year end results. In parallel, we are progressing technical studies and detailed engineering to support project execution. Moving to Great Bear. AEX surface works are progressing, including excavation for the decline infrastructure and construction of pads for the camp and stockpiles. Detailed engineering is nearly complete for AEX and our procurement is advancing in line with the construction schedule. We remain on track to start the underground decline later this year, subject to permitting. For the main project, we have initiated detailed engineering for the mill and other critical site infrastructure and are continuing to advance our permitting efforts. I will now turn the call back to Paul for closing remarks.
Paul Rollinson: Thanks, Will. After a strong start to the year, we are well-positioned to meet our targets in 2025. Looking forward, we are excited about our future. We have a strong production profile. We're generating significant free cash flow. We have an excellent balance sheet. We have an attractive return of capital through a dividend and share buybacks. We have an exciting organic pipeline, and we are very proud of our commitment to responsible mining that continues to make us a leader in sustainability. And with that, operator, I'd like to open up the line for questions.
Operator: [Operator Instructions] Our first question comes from the line of Anita Soni with CIBC. Your line is open.
Anita Soni: Good morning, Paul and everyone. Congratulations on a strong result. I just want to ask a couple of questions about Tasiast and the restart there. So how long was the repair? I think you had indicated that previously it would take about three weeks, and you said it's restarted. So I just wanted to understand how many days it was?
Claude Schimper: Hi. Good morning, Anita, it's Claude. Yes, we did the repairs were -- the total shutdown time was roughly three weeks, but we did take the opportunity to do some other work as well. So it's sort of a convoluted thing to just assign the whole three weeks to the fire incident. We use the opportunity to do some other work at the same time.
Anita Soni: Okay. And then just another quick question on Paracatu. Grades started out pretty strong for Paracatu, but at 0.43 for this quarter. Just wondering, are they going to accelerate over the course of the year from that 0.43? Or is it -- was this a little stronger than you were looking for this quarter?
Paul Rollinson: Yes, Anita. [indiscernible] to Paracatu, it's pretty stable for the year. We do have ups and downs as we move different portions of the pit. But our target is the 0.43 for the rest of the year.
Anita Soni: Okay. And then just a quick question on La Coipa. I think you mentioned that you were looking at extensions in the Puren pit. Can you just give us -- sorry, just a little bit more color on the time line on which -- when you think you might be able to deliver results to the market on that?
Paul Rollinson: Yes. We -- I mean, our current base case or reserves that are already permitted take us through 2027 in terms of a production profile. So obviously, we're doing the permitting work now, and we'll update the market as we submit those permits and get everything in line. But I think we'll -- we can provide some more detail early next year. You can see – here you can see those -- that pit as part of our resource that's there on our resource statement.
Anita Soni: Okay. And then last question on Great Bear. Can you remind me what the next key deliverables are? Like what permits are you waiting for at Great Bear? And have you seen any movements from provincial or federal bodies in terms of being a little bit more, I guess, amenable to accelerating some of these permits in light of sort of the macroeconomic environment that we've seen lately and Trump and sort of a refocus on resource extraction here in Canada?
Geoff Gold: Hi, Anita, it's Geoff Gold. I'll take the permitting question. You'll remember that there's both a provincial piece and a federal piece to our permitting. So I'll start with our AAX program. We currently have all the permits that we need for our current AAX activities, and we're closely working with the provincial authorities on the remaining permits, which are basically water treatment permits, which we expect to get when required later in the year. On the federal side and for the main project, we continue to work with the Impact Assessment Agency of Canada, who we call IAAC to advance our draft Impact statement. And in terms of legislative initiatives, which you also referred to, clearly, there's a desire both provincially and federally to streamline the overall permitting system. Provincially, new legislation has been tabled. Obviously, we welcome this positive initiative to streamline permitting, but it's a little bit too early to sort of comment on the Impact that it would have on our overall permitting time line until we obviously see the final legislation and accompanying regulations. But again, we do see it as a potentially positive impact.
Anita Soni: Okay. And this is the timeline, I think last time we spoke with an expectation of around two years for the permitting.
Geoff Gold: Yes. That's an estimate federally again, and that two years is referring to the federal review period by IAAC, and that would be triggered upon filing of our Impact statement.
Anita Soni: Okay. Sorry. And when do you expect to file that Impact statement again?
Geoff Gold: Yes. We -- well, we've targeted later in the year for that. I would start by saying our objective there remains to file a comprehensive Impact statement that addresses all the key impacts upfront. And that, of course, will help facilitate the federal consultation process that I just referred to. Again, picking up in your comments, that, of course, will be subject to the recent legislative initiatives that we're hearing about and seeing to harmonize the overall permitting process and also our ongoing engagement with the federal regulators and stakeholders.
Anita Soni: Okay. Thank you. That’s it for my questions.
Operator: Our next question comes from the line of Carey MacRury with Canaccord Genuity. Your line is open.
Carey MacRury: Good morning, guys and congrats on the strong quarter. Maybe just a follow-up on the permitting question, maybe looking at it a different way. If permitting wasn't a gating factor or a limiting factor, and given the amount of internal work you're doing, like how early could you theoretically make a construction decision?
Paul Rollinson: Carey, it's Paul here. Yeah. Look, I think as we've always said and as you'd expect, we're going to undertake a comprehensive process. As Jeff has indicated, there's been a lot of positive commentary in the media, both federally and provincially. But we haven't got enough yet to really change our course or our strategy. Well, historically, we would have expected to be in the federal review process. There's been a lot of talk about the Feds kicking it back to the province. Our objective is to be prepared for whatever. And there's nothing tangible or concrete yet, but we're optimistic there might be some schedule compression opportunities with legislation, but we haven't seen anything that's definitive as yet.
Carey MacRury: Okay. Fair enough. And then maybe a question for Andrea on the share buyback minimum. What sort of floor gold price would you have to hit where you don't think you would execute the $500 million?
Andrea Freeborough: Hi, Carey. I guess I'll answer that by saying, as we're sitting here today, that's what we're planning for is the $500 million. We don't need the gold prices that we have today, and we would plan to execute that at reasonably lower gold prices, but there's been a lot of fluctuations. So as of today, we're planning for the $500 million, and we'll just continue to update every quarter as to how much we've done and then how we're looking at progress against the $500 million.
Carey MacRury: Okay. Great. And maybe one for Clive as well just on -- sorry, go ahead.
Paul Rollinson: No, I was just going to add to that. I mean the key here, Carey, as we have in the past and as we have already this year, we've demonstrated when we say we're going to buy back that we do. So having bought $60 million already since reactivating. With the gold price where it is, we feel pretty good about this. It's obviously our intention, our objective to continue with that buyback, but we are going to be a little cautious around the gold price.
Carey MacRury: Okay. Maybe just one last one, if I could. Just on Tasiast, circling back on Tasiast for Q2, should we be expecting similar grades and therefore, proportionately see Tasiast come down by 3 weeks and then make it up in the back half of the year? Or how do we think about Tasiast for Q2 specifically?
Claude Schimper: Yeah. So Gary, Tasiast always had a bit of a -- if you compare it to last year, it had a declining profile for this year. We sort of extended the higher grade through the first quarter, which made them perform very well. As we anticipate going into the second quarter, the expectations were lower. But now as I noted in earlier on, we have some high-grade material that gives us some flexibility. So the second quarter will be quite a little bit lighter. But then as we go through the rest of the year, we expect Tasiast to meet its objectives for 500.
Carey MacRury: Okay. Great. Thanks very much.
Operator: Our next question comes from the line of Ralph Profiti with Stifel.
Ralph Profiti: Thanks very much, operator. Good morning. Two questions for me. The first one, whether the additional gravity circuit infrastructure is related to the progress into the higher-grade ores and the harder ores that as you deal with sort of some of those differential density factors? And what -- and conceivably, are we into a period where we're going to see progress or acceleration into those higher-grade ores in the second half and into 2026?
Claude Schimper: Yes. Ralph, I'll say that the gravity circuit was a CI project, which we initiated a couple of years ago. And as we went through the process of commissioning it, we've now seen improved recoveries because of it. So it was a great project for us, and it delivered very well. The different hardness of the ore relative to the different parts of the pit is just coincidental at this point. So where we are now, it is slightly harder and our work index is a bit tougher. So the tonnage is slightly lower at Paracatu. But as we move into other areas, we expect to see great benefits from that galv circuit when we get back into running the greater process, the higher tonnages.
Ralph Profiti: Got you. Okay. And maybe as a separate question for Paul and how you're thinking about sort of more of that generative exploration as we see this pivot at Great Bear into some of the more regional targets. And if you look at the exploration portfolio, there's a lot of brownfield exploration, less so on greenfield. Just wondering as a capital allocation decision, how you're thinking about sort of more of that generative work to establish more exploration targets thinking out many, many years ahead.
Paul Rollinson: Yes. No, it's a good question. I mean, historically, Ralph, and I guess, philosophically, I would say, crudely, our exploration budget is probably 90% brownfields, 10% greenfields. So we've got geologists in both brownfields and greenfields, but our priority and our focus has been around mine X and brownfield targets, keep going where we're already mining. Having said that, we've got a great team out there. We're more selective in our regions in terms of greenfields, Canada, Nevada, Finland. We think it's important to keep a team there, and we've got some exciting prospects -- and as well, those exploration geos are also our lens, if you will, into other exploration situations that are going on. As you know, we occasionally will take a minority interest in a junior explorer where we like the management team, the geologists, we like the prospectivity. So we do our own greenfields, but we also leverage some of that in-house intellectual knowledge on greenfields by looking at some external JV opportunities. And that split, I think, is what we're comfortable with right now.
Ralph Profiti: Got you. Thanks, Paul and team.
Operator: There are no further questions at this time. I would like to hand the call back -- my apologies. We did just have one more call -- caller get into queue. Our next question comes from the line of Tanya Jakusconek with Scotiabank. Your line is open.
Tanya Jakusconek: Thank you, operator. Good morning, everybody. Just thank you for taking my question. Sorry, I have to jump on the call a bit late. Maybe you've already discussed this. But I wanted to get an update, if I could, on Great Bear. Where are we with the First Nation consultations? How are those going? And when are we expecting to have agreements in place? That's my first question.
Geoff Gold: Thanks, Tanya. It's Geoff. I'll take that one. Yes. Look, in terms of the IBA, what we call a project agreement, we continue to advance our negotiations with our First Nations partners. Obviously, the negotiations remain confidential. So I can't comment on any detail, but I can tell you that the negotiations have been productive, respective and constructive, and the parties are continuing to sort of advance. What you expect to see in one of those agreements, including the financial terms, procurement, training and employment and all that kind of stuff. And so we'll provide sort of further updates as we get further into that.
Paul Rollinson: Yes. I think it's important to add, Geoff, that as we describe it, we sit on the traditional lands of two First Nations. That's who we're having the discussions around the IBA with. And those two First Nations have been very supportive of the project and have supported us every step of the way. So we're working through it, but we have, I would say, a great relationship with the two Nations whose traditional land the project resides upon.
Tanya Jakusconek: And Paul, are we expecting to have these agreements in place this year? Or is that the target?
Paul Rollinson: Yes. Look, it's a bit of a -- I don't know that we ideally sure, but it's going to run its course. And it's -- we're not here to rush. It doesn't hold up our time line. When Geoff talked about the impact statement that we will file, which starts the clock with the Federal review, and that's assuming we are in a Federal review. We may not be depending upon what happens at the federal provincial level. But the timing of filing that impact statement, we are the proponent, Geoff, and we control the timing.
Geoff Gold: That's exactly right. As the project proponent, we control the timing of the filing of the impact statement. And just to say it, we don't expect our IBA negotiations to negatively impact our overall main project time line, as Paul said.
Paul Rollinson: No, we don't need the IBA to file the impact statement at the point.
Geoff Gold: No, we don't.
Tanya Jakusconek: Okay. Okay, thank you for that. And then maybe just quickly, I'm just looking at your slide 19. And I'm just looking at it from two perspectives. One of it is just -- thank you for the slide, by the way. One of it is just looking at what your optionality is and all of those Lobo-Marte, which I think could be something that could come in, in 2030-ish time frames. And I think it was about 300,000 ounces in production. So what I'm trying to really think about is the optionality. Can we just review when some of these things could come in and what they could add? Obviously, Great Bear, I know. But Maricunga, Lobo-Marte, Curlew. And then within today to 2030, some of the current operation, the extensions that you're looking at, what else could they do in terms of supplementing your two million ounce production profile from now until -- for the next three years?
Paul Rollinson: Yeah. As you can see on the slide, we've tried to split it into what has the near-term impact and what's more 2030 and thereafter. As you noted, we see Lobo-Marte is more kind of after 2030, and part of that is because we have continued resources at La Coipa that are going to take us out into 2030 and maybe into 2031, 2032. So it's somewhere in that range for Lobo. For the other projects that you referred to, Curlew is one where given the nature that this is really a restart and it's using an existing mill facility, we think that's something that could come back online in and around 2028 if everything goes well. And then same thing on Phase X is probably a similar time line for getting that underground going. So those are two things that are later end of this decade that could bring in some impact. You can see a lot of the other optionality of the page is really just continued extensions through our M&I resources at our existing sites, and that also can contribute through the end of the decade. A great example of that, we released some more info last quarter on Bald Mountain on the open pit extensions there. And Redbird 2, we had noted we're going to hopefully bring that into the portfolio soon or into the pipeline and make an approval decision, and that takes us out to 2031 and would really start contributing in 2028. So those are the key ones for that time period. Obviously, Great Bears, you guys have lots of information on that, and that's a key contributor at the end of the decade.
Andrea Freeborough: Yes -- go ahead.
Claude Schimper: Yeah. No, I was just going to make a couple of other additional points. Again, also on that slide 19, just the bottom line there, I think also underpins the optionality with the fact that we've got about 26 million ounces in M&I beyond the 2P and another 13 million incrementally in inferred above that, which, again, we're running our resources at 2,000. The other point I was going to make, just to supplement what Will was saying, the other point to keep in mind is we've generally been pursuing what we've been calling a bit of a grade enhancement strategy. And so for me, what's exciting is as we're going to move into Phase X, that's where we're going to get into that bulk underground three to four gram, which again, will be blending with a lower open pit. Just like we're doing with Manh Choh today, we've got a high-grade supplement to a low-grade pit. Curlew, again, we still got lots of work to do, but looking at the widths and grades, we're feeling like, again, we've got a small but higher grade opportunity to bring grade into the -- before the end of the decade profile. And then as you -- and those, to me, in my mind, are the 2028 potential contributors. Beyond that, as you say, Great Bear starts to come into view and Lobo comes into view. And well, I mean, we haven't said a lot about Lobo, but it's definitely a low strip, decent grade 1.3 gram, I think we're going to refresh our thinking. But 300,000 maybe life of mine average, but I think you'll see years where we do much better than that and maybe closer to 400,000 and again, we've got to inflation adjust and think about that towards the end of the decade. But I say it's not as great as Great Bear, but I still think we're going to have a pretty attractive AISC there. So, again, another grade margin improvement as we move out towards the end of the decade.
Will Dunford: Yes. And I think the key there, as you mentioned, with Lobo, it's a low strip, and it's also -- it's a 1.3 gram grade, but that's all going through a heap leach. So, it's a high-margin operation, the quality project.
Tanya Jakusconek: Okay. And if I can remember correctly, Curlew would be plus 100,000 ounces. Would that be a fair assumption?
Will Dunford: It's in around that range, yes. Yes. Again, it's a smaller scale, but really good grades. As you've seen, it continues to tick up every time we do a resource update, and that's really what our exploration team is focused on that higher grade, higher-margin material.
Tanya Jakusconek: Okay. Thank you. And then just my last question, if I could. Sorry, if I could get one more in. I just -- I'm sorry, I missed this, but I think Claude, I just came in when you were talking about some of the quarterly production profiles that Tasiast is a bit lower in Q2 and then sort of picking up in Q3, Q4. I think Paracatu is supposed to be evenly distributed. I think last quarter, you mentioned that you have no major maintenance downtime in any of the operations. So, the profile for the year should be evenly distributed quarterly. Would that still be a fair way to think about it?
Claude Schimper: Yes, I would say it's a fair way to think about it with the caveat that we over -- we exceeded our expectations in Q1. So, the rest of the year is pretty evenly distributed, and we're still targeting that guidance number of $2 million. But we're slightly ahead of the pace in Q1, and we're going to keep our operational excellence focus for the rest of the year.
Tanya Jakusconek: Okay. With just the movement the three-week downtime at Tasiast. Okay, thank you so much for taking my questions. Appreciate it.
Operator: Our next question comes from the line of Josh Wolfson with RBC Capital Markets. Your line is open.
Josh Wolfson: Thanks very much. Back to the Great Bear permitting questions. For the decision to, I guess, reallocate resources from drilling at the LP Fault to some of the surface targets, I'm just wondering, is any of the drilling for some of the AEX program infill-related? And is there any element of that, that would be, I guess, critical path? And I'm just wondering bigger picture here, when would we expect the drilling there to resume? Thanks.
Will Dunford: Yes. AEX drilling is infill drilling. That's the point of getting underground. So, that's one key piece of it. You get underground to convert from your inferred up to your indicated spacing. We're also going to do exploration from underground, particularly Hinge and Limb is a target that we're going to get a lot closer to and get more infill on. So that should be interesting given that was not in the PEA that we put out there. We see a lot of opportunity there. But the move away, as we've tried to outline in the materials from doing that exploration right now, it's really just a financial decision. These are very deep holes. It does not make sense to do a lot more infill and continue trying to expand that resource from surface. So, we get underground. In terms of your critical path question, we're very far ahead of the critical path in terms of when we get underground versus when we have to start mining, because it is the permitting that's more of the critical path and the construction of the asset. So we've got lots of time to get underground and do that drilling from underground and be in a position to start mining. And we've done a lot of work at surface with Infill drilling and RC drilling to confirm our understanding of how we convert from inferred to indicate. So we've got a good understanding of the orebody. It's not a critical path to get that drilling in DX. And it is the right way and the more efficient way to do the Infill. Yes. And the other thing we are doing a bit of work on as we step out is just condemnation drilling for the major infrastructure just to be 100% sure, given the nature of this deposit and the high-grade, that we don't put any facility in the wrong place. That's the only other kind of exploration and drilling work we're doing this year.
Josh Wolfson: Got it. Thanks. And then just one more question, looking at the current high-gold price environment, it sounds like, at least in prior quarters, the opportunity to look at a higher sort of pricing assumption has enabled some of the ability to leverage upside at Bald Mountain with Phase 2, the Redburn Pit. Are there any other opportunities the company is sort of thinking about over the next couple of years that maybe make more sense in today's environment? Thank you.
Paul Rollinson: Yeah. I think the slide we had gone over for Tanya earlier Slide 19 is a good one that really just illustrates the nature of Kinross. Frankly, in all of our assets, they continue at depth. That's why we've got such a large M&I resource. And the gold price always helps when you're going to the next layback, the next pushback. So things like Tasiast that we spoke about a bit, where we're looking at that next layback -- a higher gold price environment is very beneficial. The one thing we've communicated, and we've been quite strict on as a company, is we don't want to start dropping cutoff grades today, because our milling facilities are full with this higher-margin material. But long-term, there does with that higher gold price -- there's stockpile optionality on material that otherwise would have been waste, that we're mining through anyways, that we get the benefit of at the end of life-of-mine. And the gold price helps significantly with each of these next push-backs at our assets.
Josh Wolfson: Got it. Thank you.
Paul Rollinson: Next?
Operator: There are no further questions at this time. I would like to hand the call back over to Paul Rollinson, CEO, for closing remarks.
Paul Rollinson: Thank you, operator, and thanks, everyone, for joining us this morning. We look forward to catching up with you in person in the coming weeks. Thank you everyone.
Operator: This concludes today's conference call. You may now disconnect.